Operator: Good day, ladies and gentlemen, and welcome to Ciena's Fiscal Third Quarter 2011 Results Conference Call. [Operator Instructions] As a reminder, today's conference call is being recorded. I'd now like to turn the conference over to your host, Mr. Gregg Lampf, Vice President of Investor Relations. Please go ahead.
Gregg Lampf: Thank you, Allie. Good morning, everyone, and welcome to Ciena's third quarter 2011 review. With me today is Gary Smith, CEO and President; and Jim Moylan, CFO. In addition, Tom Mock, Senior Vice President, Corporate Marketing and Communications, is here. Today's call will follow a new format for us. In this morning's press release, which is available on National Business Wire and ciena.com, we've included much of the financial data that we normally would cover in our prepared remarks, well actually in tabular format for easier sequential and year-over-year comparison of our results. We believe this change allows us to better focus our remarks during the call so we can spend more time answering your questions. In our abbreviated prepared remarks, Gary will discuss management's view on the macro environment as well as our business progress. Jim will offer some color on our Q3 results and provide guidance for Q4. We'll then open the call to questions from the sell-side analysts. Before I turn the call over to Gary, I'll remind you that during this call, we will be making certain forward-looking statements. Such statements are based on current expectations, forecasts and assumptions regarding the company that includes risks and uncertainties that could cause actual results to differ materially from the statements discussed today. These statements should be viewed in the context of the risk factors detailed in our most recent 10-Q filing. Our next 10-Q is required to be filed with the SEC by September 8, and we expect to file that by that date. Ciena assumes no obligation to update the information discussed in this conference call whether as a result of new information, future events or otherwise. Today's discussion includes certain adjusted or non-GAAP measures of Ciena's results of operations. A detailed reconciliation of these non-GAAP measures to our GAAP results is included in today's press release available on ciena.com. As a reminder, this call is being recorded and will be available for replay from the Investors section of our website. Gary?
Gary Smith: Thanks, Gregg, and good morning, everyone. Despite coming in at the low end of our guidance on revenue, we've made progress in many areas of our business that have enabled us to report strong results for the quarter. As expected, product mix improved significantly with both switching and CESD up more than 30% on a quarter-on-quarter basis, contributing to gross margin improvement. Operating expenses also were significantly improved in the quarter. And as a result, we achieved an as-adjusted operating profit of 4% which we believe is a solid result, particularly given the challenging economic environment. And I'd like to take a moment to comment on that environment and what we're seeing in our business. Given customers' caution around the macro economy, our customers are scrutinizing their spending more carefully today. And we're seeing some slowness in markets around the world, I think most notably in Europe. And given the level of our overall international business that we now have, we're seeing slightly longer cycles for sales, deployment and revenue recognition. However despite their caution, customers will need to move forward with network modernization. The growth of data, video, cloud, storage and other bandwidth-intensive applications is not slowing. And at this time, our customers are continuing to advance their network modernization plans, albeit some at a slightly slower pace. We are confident that Ciena is extremely well positioned even in a tougher environment. The demand drivers underlying growth in our industry remain very compelling. We have industry-leading solutions, and customer traction is strong. We are winning deals in the marketplace, and we continue to see a healthy flow of orders. And while we remain optimistic, our industry is not immune to macroeconomic forces, and we can't know for sure how the economy will play out. So we are focused on controlling the things we can control and optimizing the business with an eye on continuing to improve the bottom line. Turning to the third quarter specifically. We have said all along that building the new Ciena would be a multistage process. And as we discussed last quarter, the business is essentially moving from a phase that has been focused primarily on integration to a new phase focused largely on optimization and achieving operating leverage. Because our early focus in the Ciena MEN combination was on a quick and smooth integration, we still have many levers available to optimize the business. In fact, our early optimization efforts have helped us pass another milestone this quarter, as-adjusted profitability. It's an important step, but we recognize that it is just that, one step in the process. Nevertheless, our Q3 results illustrate that these improvements are beginning to happen. For example, we reduced our overhead rate through a series of cost reduction initiatives in the supply chain. We increased operating efficiencies in G&A. And our product design cost reduction efforts are progressing well. In addition, we're taking advantage of our significant investment in R&D that we've made over the last 18 months. This has yielded a considerable technology lead across virtually every Ciena area of focus. In software, we announced in the quarter both control plane and management unification across the portfolio, clearly an essential step for increasing cross-product solution sales. The control plane software, which automates our CoreDirector and 5400 optical switches, had now been integrated into our coherent optical transport platforms. In addition, our new OneControl cross-portfolio management system is now generally available and already has 3 customers. In switching, we announced the integration of our leading coherent optics onto the 5430, and orders for that platform are continuing to ramp. We sold our first 100-Gig 5430 solution in the quarter, and our customers for the 5430 now total 9, evidence that our OTN value proposition is being well received. It was also an important quarter for our transport business, as we announced the integration of OTN switching across our transport platforms. This increases the overall value of a Ciena solution beyond transport. We're now approaching 100 customers for our coherent optical transport solutions. And feedback from those customers, coupled with our field experience, it's clearly telling us that Ciena's coherent performance continues to outpace competitors. And we fully expect our ongoing development efforts to further advance our leadership position in this area. Regarding carrier ethernet. We're excited about bringing to market in the coming months expanded packet networking capabilities and additional packet integration across the portfolio. In the meantime, volume CESD shipments have resumed to one of our large Tier 1 customers who is now using carrier ethernet solutions for both mobile backhaul and business ethernet services. In addition to significant wins in both North America and Europe, we added 2 new customers in the Asia-Pacific region. In summary, we continue to make progress in our business. From a technology perspective, we're moving forward, taking important steps to ensure that we maintain our significant development and technology lead across the portfolio into the years ahead. From a market standpoint, we continue to leverage our solutions into actual design wins. And from an operational perspective, we're demonstrating a firm commitment to controlling the things we can control and further optimizing the business. So while the macro environment has caused some customers to be more cautious, we continue to be confident that we are very well-positioned to grow faster than the market and deliver operating leverage. Now I'd like to hand over to Jim for some color on our Q3 financials and our guidance for Q4. Thanks, Jim.
James Moylan: Thanks, Gary. Good morning, everyone. I'll take a few minutes to provide some detail on the results that we published earlier today. As a reminder, I will be speaking only to non-GAAP results. Please refer to this morning's press release on our website for the reconciliations to our GAAP results. Starting with revenue. There are several factors that contributed to revenue coming in at the low end of our guidance range. As Gary indicated, increased customer scrutiny on spending is lengthening sales, deployment and collection cycles, especially in Europe. This dynamic also likely contributed to a back-end loaded quarter for orders, which limited our ability to respond in the quarter to customer demand. In addition, we are seeing slightly longer revenue recognition cycles as a result of multiple large international builds currently underway. We are just now beginning to recognize revenue from several of our previously announced design wins. At 44.1%, gross margin was solid, mainly due to contribution from higher-margin product lines. We had a favorable mix of CESD and switching in the quarter. Combined, they contributed more than 18% of revenue. Both product sets are gaining traction in the marketplace, and we believe that the trend for both of these segments is upward. Of course, as we have often said, we do expect product mix to vary from quarter-to-quarter. Operating expense also came in better-than-expected at approximately $175 million. The lower OpEx reflects a $4 million benefit related to a Strategic Jobs and Investment grant that we received from the province of Ontario. We accrued an unusually high amount of the grant this quarter as a credit to R&D expense because we essentially are recognizing 3 quarters of benefit in this quarter. We do anticipate future benefits to be approximately $1 million per quarter, again, as a credit to R&D expense. In addition, we did a good job of controlling costs in the third quarter, and our efforts are starting to be reflected in our results. Turning now to the balance sheet. We ended the quarter with approximately $537 million in cash and liquid investments. DSOs were higher in the quarter. This was due in part to a high proportion of international business, which typically has a longer payment cycle. Also, revenue for the quarter was back-end loaded, which somewhat overstates DSO. However, as part of our optimization plan, we do believe that we can shorten our cash cycle, which we believe will bring down DSOs in the quarters ahead. And finally, as a result of our focus on the supply chain, we reduced inventory in the quarter to $244 million. Turns improved to 3.3x, pretty much according to our plan. I will now discuss guidance for the fiscal fourth quarter of 2011. Absent significant change to exchange rates, our guidance is as follows: We expect revenue to be in the range of $440 million to $460 million; as a result of expected growth in our transport business in Q4, we expect adjusted gross margin to be somewhat lower than Q3 but within our target range in the low-40s; and adjusted operating expense is expected to be slightly higher than Q3 levels, in the upper $170 million range, given the smaller effect of the grant in future quarters; with respect to our post-integration target operating model for Q4, about which we have spoken a number of times, we expect our adjusted operating margin in fiscal Q4 to be roughly similar to that of Q3; with regard to other income and expense in the fourth quarter, we project an expense of approximately $9.5 million related to the interest on our notes; we expect our tax obligation for Q4 will continue to be related purely to foreign taxes; as for share count, we estimate Q4's basic share count at approximately 98 million total shares. Fully diluted share count will depend upon the level of profitability for the quarter, given the way the convertibles act in the diluted calculation. I will close by talking a bit about the milestones we have set out for the evolution of Ciena. We have talked about as-adjusted profitability as a key metric, and we achieved that in Q3. Our next milestone is to get to a positive cash flow from operations, which we fully expect to achieve in Q4. That concludes our prepared remarks. And with that, we will move to the Q&A portion of the call. As a reminder, in order to maintain fairness, we will be taking one question per sell-side analyst with follow-ups as time allows, and we should have a fair amount of time this morning given our new format. Allie, we'll now open up the line for questions.
Operator: [Operator Instructions] Our first question comes from Rod Hall of JP Morgan.
Rod Hall - JP Morgan Chase & Co: So I guess I actually have 2. One for Gary, one for Jim. Gary, I just wanted to ask if you could give us any more color on what you're hearing back from European operators. It seems a little bit early in the cycle for them to be cutting CapEx. We know that there are concerns over the finance market out there and gas prices blowing out and so on, but just wondering if you think they're trying to conserve cash to prepare for some sort of a new credit crunch. Are there other things that are affecting spending? Just wonder if you could give us any more comment. And then, Jim, on the OpEx, if you could just give us some idea of why the OpEx would be going up in Q4. It seems like with the headwinds in the economy and the little bit lower revenue than we expected -- I mean, revenue's not that different from what it was in Q3, yet OpEx is bouncing up. If you could just help us understand why that's happening and whether you have any more flexibility to maybe bring that in a little bit, that would be great.
Gary Smith: Okay, Rod. Why don't I take the first one, what we're seeing in Europe. I think overall, if we were to sort of step back from it, I think we're seeing a little bit of slowness, but predominantly in Europe. I would caution that, that also coincides with us doing some sizable projects in Europe. So it's really difficult to discern the timing on those projects. Just, were we overoptimistic in terms of assuming revenue recognition with them, which can be the case with these international projects, or are they trying to elongate the process? Our view is it's probably a little bit of both. We don't have a lot of -- a long period of data on it, but as we look back on the last couple of quarters, I think a couple of things. One, with hindsight, with the benefit of hindsight as we look back at that, I think we can see a little bit of slowness in Europe in terms of just increased scrutiny. I would add to your specific question though, Rod, we're not seeing any cancellation of projects or significant delays in the awarding of those projects. But as we look back on it, we are seeing it's taken longer to get to revenue for some of those larger projects in Europe.
Rod Hall - JP Morgan Chase & Co: Gary, is this for whole of Europe mostly, or is it -- are you seeing it in core Europe as well? I mean, is it the countries like Greece, where we've got debt problems, or is it actually making its way to Germany and some of the other core countries?
Gary Smith: I know I describe it as core countries. We don't have a lot of exposure to Greece, et cetera. Those kinds of countries that have obvious sort of debt issues, we don't have a lot of exposure to them. It's mainly the core countries of France, the U.K.
James Moylan: And Rod, on the OpEx. We printed $175 million for OpEx in the quarter. I want to make sure everybody understands, we did receive a grant from the province of Ontario, it's a 5-year grant. We'll get it over the next 5 years, however -- and it'll come in as a credit to R&D expense. We actually just signed that grant during the third quarter, and so we recognized a disproportionate amount in Q4, roughly $4 million. Going forward, the amount's going to be $1 million. So that's the biggest reason why we expect OpEx will be up a little bit in Q4.
Operator: Our next question comes from Mark Sue of RBC Capital Markets.
Mark Sue - RBC Capital Markets, LLC: Can you classify, maybe, the situation in North America? Are things stable now following the lengthening sales cycles, or is it still somewhat fluid? Maybe if you comment on the pipeline in North America, what kind of linearity we should expect in Q4. And if this increased back-end loadedness is something that's going to stay.
Gary Smith: I mean, specific to North America, I would say Tier 1s, we’re not seeing anything different than we've seen. We've seen no different behavior from the major Tier 1s in North America. Perhaps a little bit of elongated cycles into sort of Tier 2 and enterprise, which is why we conclude that those folks typically can react a little bit quicker to concerns around the economy. But with all that being said, we had strong order flows relative to Q3. Our pipeline continues to improve in North America. And we're not seeing particularly any of the macro issues, certainly in the Tier 1s, reflecting in any delays in projects or cancellations or any conversations about it.
Mark Sue - RBC Capital Markets, LLC: Got it. So if anything, your pipeline is actually improving.
Gary Smith: Our pipeline is actually improving. Certainly overall, it's improving, and certainly in North America.
James Moylan: With respect to the back-end loaded point, Mark. I think most companies that are in businesses like ours do experience back-end loads to their quarters. It's just a function of the way the business works. And by the way, we've always been somewhat back-end loaded. What we have seen in the last couple of quarters, and we've pointed it out, is that we were just a little more heavily back-end loaded than we have experienced in the past. We're not sure what to make of it. Our order flows have been good, healthy overall, but they have been a bit back-end loaded.
Mark Sue - RBC Capital Markets, LLC: Okay. And then how should we extrapolate the trajectory of switching and CESD? And likewise, wouldn't the gross margins continue to remain at least flattish near-term if those products are doing well? And then subsequently after that, what does that mean for kind of operating margins, which are still very mix-dependent, following Q4?
Gary Smith: In terms of both CESD and switching, I think as Jim commented, we're very pleased with the traction we're seeing. And overall, I would expect their revenues to go up. That might not be on a quarter-to-quarter linear basis, but we expect them to continue to improve. We also expect transport to grow as well. So that's also into our thinking around the blending of the margin, which is probably the most difficult thing for us to predict on a quarterly basis. Clearly, we're pleased with the progress that we're making in CESD and switching. And we thought that the second half would be up on the first half, and I think that, that's proving to be the case.
Mark Sue - RBC Capital Markets, LLC: And then just your thoughts on operating margins, kind of how it's steady-state. Should we think of it rather as OpEx in absolute dollars at these levels after Q4?
James Moylan: It's hard to comment on 2012 as we sit here today, Mark. We're just now getting into our planning for 2012. I can say that the general comments that we've made about OpEx still are true. We think that we're not going to have to increase R&D significantly from current levels as we move forward. We feel the same way roughly about G&A. And the only element of OpEx that we think we might have to tweak upward as we grow our top line is the sales part, which is a pretty good chunk of the sales and marketing line of our OpEx. So the point of that is we do expect a lot of operating leverage going forward. We have to look at things like where our roadmap is in R&D. We have to look at things like merit increases and incentive comp and that sort of thing, but we expect a lot of operating leverage as we grow our top line. And just one thing I'd say is, I want to say that at least right now, we're expecting operating margin in Q4 to be about where it was in Q3.
Operator: Our next question comes from Kevin Dennean of Citi.
Kevin Dennean - Citigroup Inc: Gary, I guess this one's for you. You laid out a lot of reasons to be optimistic about the optical cycle, and you said that you've seen no change in customer behavior in North America, some slowness in Europe. But I'm just wondering if you could try to help frame for us. It seems like we have a lot of drivers ahead of us in 40G and 100G, the move to OTN and packet optical. But yet, there seems to be some clear hesitation in the cycle, and I think there's a lot of concerns out there that the optical cycle is almost over before it's, basically, begun. So can you talk about, we've heard some cautious commentary out of some of your telco equipment peers, can you talk about what you're hearing from customers? Or are dollars flowing incrementally into building out optical and away from some other parts of the network? And how should we think about your growth trajectory? I mean, we saw a slowdown in growth this quarter. You grew 11%, I think it was annually, but that's a bit of a slowdown from the prior quarter when you adjust for MEN, which I think was about 25%, 26%. So if you could just address that.
Gary Smith: Yes. I mean, I think sort of stepping back from the quarter, if you will, and looking at the overall sort of trends, I still feel that the drivers are incredibly compelling. And I think you touched on it. It's not that the CapEx needs to go up, it's what they spend it on. And I think given the drive for cloud, for storage, for the growth we're seeing in video, et cetera, carriers have a very compelling event to move to, again, modernize their networks. And I think we're not seeing, in our dialogue with them, any pullback from that at all. And I feel very confident that all things being equal, that will happen. Clearly, the industry's not immune to the macro environment, and I think people are undergoing just a little more scrutiny on their CapEx. I would say we're not seeing it in a pronounced way, it is subtle. I think what we're seeing very clearly is some of that in Europe. We're not particularly seeing that elsewhere, and I wouldn't say we're seeing that in Tier 1s outside of Europe. So I think the theory around OTN 40 Gig and 100 Gig, I think, remains very compelling. And we're seeing that in terms of our order flows and continued design wins. I think the overall CapEx spend clearly is -- we're mindful of that, but I think it's really what they spend it on. So CapEx does not have to go up for us to grow disproportionately. I mean, our bets and our exposure, if you will, is to these higher-growth markets of coherent, high-capacity transport, OTN and switching. And really, that's what we're exposed to. So unless, really, the macro environment deteriorates dramatically, I mean, we still see that shift going on.
Operator: Our next question comes from Ehud Gelblum of Morgan Stanley.
Ehud Gelblum - Morgan Stanley: A couple of quick things. So first of all, clarification. I saw in your inventory, you’re breaking it out slightly differently now, taking finished goods and breaking them into both finished goods and deferred cost of sales. Just as a clarification, if you could just explain how you looked at those before. And what, just to -- remind me what the difference is between the 2. And when you do add them together, you get a number that's down around $40 million, $45 million from the previous finished goods number. Just trying to understand what we should we be reading into that with respect to future revenue growth and kind of what that's trying to tell us. And then if you talk a little bit about the pricing trends that you're seeing in transport right now. Is it the same as they were as you get to 100 Gig versus 40 Gig and you get larger there? Are you seeing different pricing trends? Just trying to understand kind of what that market looks like as well.
James Moylan: Yes. I believe that both of those items that you talked about were in finished goods before. We're breaking it out really just to give you a little more detail about our business. We do have some deferred revenue, and the inventory associated with that is in finished goods at this time -- I'm sorry, is in this other element, and it had been in finished goods before. But I'll just take this opportunity to say that we have very aggressively worked on our supply chain, and our attempt all along has been to drive down inventory from the levels that we saw coming out of the integration. And we're starting to see those results. So we fully expect that our turns are going to go up over time.
Ehud Gelblum - Morgan Stanley: In the past, having a high finished goods number was always a good thing for you guys because it meant that you had a lot of revenue sitting there at customer locations waiting to get recognized. Especially with the comments that Gary made -- he made this morning, I would have thought almost that, that finished goods number would have been flat to up as product would be sitting there waiting to get recognized, but it seems like it's down. I'm just trying to understand...
James Moylan: Yes, I guess what I'd say is I've looked beyond that as an indicator of what revenue's going to be. Our guidance takes fully into account everything we expect about what's sitting at customer sites waiting to be accepted and all of the other things that go into rev rec. I would say that from our point of view, we don't like to have inventories sitting out there a long time before we get to revenue. We like it to be a smaller number, and we have to do what the customers want and we do that. But our drive on the inventory is across the board to try to get our inventory levels down.
Ehud Gelblum - Morgan Stanley: On pricing?
Gary Smith: So Hudie, on the pricing. I mean, I'd say just overall, it continues to be a tough, competitive environment. I think if you look at 40 and 100 Gig, I mean, clearly, we're ahead on technology. Therefore, competitors compete on other bases with their 10 Gig technology, et cetera. So we're not seeing any appreciable change in that. It's been tough for a while and continues. But I think the important thing for us is getting footprint on to this next generation, 40 and 100 Gig, and we're continuing to do that. But it is a tough environment.
Ehud Gelblum - Morgan Stanley: No change there from last quarter?
Thomas Mock: Not particularly. It was tough last quarter, too.
Ehud Gelblum - Morgan Stanley: Okay. And then just last one, if I could. Your OpEx level now in the $170 millions, it had been in the $180 millions. Is that a change from -- it seems like a change from your Analyst Day in June?
James Moylan: Well, what I'd say is that the $175 million did have a benefit.
Ehud Gelblum - Morgan Stanley: Right. But it's still gets you to the high $170 millions, right?
James Moylan: Yes. We think that's where we're going to be. But we are actually running OpEx a little lower than what we had sort of guided to in Q4, and that's because we know that there are some things that we have to do. But within that constraint, we are trying to hold down any unnecessary expense, and I think we did a good job of that in Q3.
Ehud Gelblum - Morgan Stanley: All I'm getting at is the comments that we took away from you at your June Analyst Day, we should kind of add $5 million to the bottom line from all of them because we're now operating in a world with a roughly $5 million lower OpEx number?
James Moylan: Well, for Q4, you should add something to it because I think most people were running their OpEx at around $181 million or $182 million. Going into '12, I'm not going to make a comment about '12, we're just now doing our planning.
Operator: Our next question comes from John Marchetti of Cowen and Company.
John Marchetti - Cowen and Company, LLC: I was just wondering if you could spend a minute, guys, and talk a little bit about the guidance range that you've given. You obviously talked about another good-order quarter, and you continue to see that book build for you. When you talk about having transport or expecting transport up in 4Q, how should we think about maybe CESD and your switching business, given that they did sequential increase as we saw in Q3? And what kind of gets you from the $440 million to the $460 million range, given that you're obviously expecting transport to be up? Is the variable the switching and the CESD business?
Gary Smith: Yes, I think we're taking clearly a number of things into account on the guidance. And I think looking to product mix, we do see strong transport in Q4, and I expect that to be up. CESD and switching. Whilst overall, the trend is up, might not be linear sort of quarter-to-quarter and difficult to predict with exact precision given the amount of sort of moving parts. And also, we're mindful of the overall environment and the fact that for 2 quarters, we've been at the low end of our range given the macro environment and some of the international rollouts. So I think in terms of the overall mix, John, I would continue to see growth in CESD and switching overall as we go through 2012, particularly as you’ve got a lot of new platforms coming into market. But I also expect transport to go up as well.
John Marchetti - Cowen and Company, LLC: And then, Gary, if you go back a quarter ago and you guys sort of were talking about approaching the lower end of your 7% to 10% operating margin target for 4Q. And you talk about, obviously, that having to be, needing to be done on revenue and whatnot. Over the course of this last quarter and as you're looking out, has more of it changed in terms of it's taking longer for some of these larger products to actually come into revenue, or is it maybe some of the other business that you had expected to materialize along the way has just taken longer to show up than you had thought?
Gary Smith: I would say overall on the top line, probably impacted transport more than switching and CESD, John, just as a general rule, if I look at what we'd expected in sort of Q2 and Q3, it's largely transport and largely international. I would say that the other thing that we're focused on that we were able to overachieve on, if you will, was sort of the optimization efforts that we've been talking about as we go to this next phase to better utilize our expenses and G&A, et cetera, as we came off the TSA services. So I think there's a lot of other levers that we can pull in the business, and we're pulling those. So we're not purely dependent upon revenue growth.
Operator: Our next question comes from Jeff Kvaal of Barclays Capital.
Jeffrey Kvaal - Barclays Capital: I've got one for you, Jim, and one for you, Gary. I think, Jim, could you talk a little bit about that longer-term operating model, and what kind of revenues we might need to see in order for you to be in the range of 7% or even 10% operating margin? And then Gary, I was wondering. It sounded like you were a bit chagrined by being at the low end of the revenue range the last couple of quarters. Does that suggest that you've put in an extra dose of conservatism into your October numbers?
James Moylan: Jeff, as we've said before, there's a lot of different ways to get to 7% to 10% and beyond. I think fundamental to it though is that we've got to have a margin in sort of the mid-40s. I think that's the fundamental piece of it. And John, we've got to hold our OpEx not exactly flat, but relatively flat. And so we've got to enjoy operating leverage as we move through time. And we've got to grow at a market rate or maybe even slightly better, all of which we've been able to do so far. But I do say that I emphasize that we've got to see continued progress on margins as we go through time.
Gary Smith: Jeff, in terms of the chagrined element to it. I mean, I think with the benefit of hindsight -- and we have to look back on the quarters and what went well and what didn't, as was expected, I think the 2 things that we're mindful of is just the impact on the overall macro environment, particularly internationally, and some of these international projects where I think we were overly optimistic in terms of thinking that we were going to be able to take them to revenue. So yes, I would say we've certainly considered those as we put the guidance out. But I would say when we give guidance, we try and give the best, balanced view that we can. Be it conservative or overly optimistic, we really try and give a balanced view to it. And I think over the years on a quarterly basis, we've been pretty accurate around that. So we try and give the best possible view that we can. And I think particularly right now with just the uncertainties on the macro side, I think it was appropriate.
Jeffrey Kvaal - Barclays Capital: Okay, makes sense. And then Jim, just to follow up on gross margins. The transport margins have been under pressure. I noticed a lot of footprint activity out there. You've got to get your products in. To what extent do you think, over the course of the next, say, 2 to 4 quarters, we'll see a mix shift from, say, chassis to line cards that should help the transport gross margins? Is that a factor?
James Moylan: It clearly will be a factor. We are continuing to win deals, and some of those deals are going to be priced aggressively and will result in putting out chassis. So I guess I would say that our guidance is going to try to fully reflect all of those things, and they go in, sometimes, different directions. So I'm just pleased with the progress we made this quarter with respect to our margins, and I think we'll continue to do well. And our mix will look good as we move through time. By the way, just as a comment here. We're going to have to enforce the one-question rule a little more tightly because we've got a lot of people that want to ask questions. So if you can hold it to one, please do.
Operator: Our next question comes from Tal Liani of Bank of America Merrill Lynch.
Tal Liani - BofA Merrill Lynch: One question, 3 segments. But I'll stick to one question, it's all about the same issue. Federal. What's your exposure to federal spending, and if federal budgets go down, do you think you're going to be impacted? Second point is I want just to understand the growth in CESD and switching this quarter. Is it all booked and recognized this quarter, or is there an element there of things that were shipped and deployed last quarter and that there's only revenue recognition hitting this quarter?
James Moylan: Okay. On the federal spending point, that is an area of focus for us. We think we have some very interesting opportunities in federal spending. I would say that right now, it's a pretty small piece of our revenue and we have a pretty small market share of that spend. So regardless of what happens at the top line, I think we can do well on the federal side. And I'm not going to speculate on what the government is going to do with respect to their spend. On the CESD and switching side, I don't believe there was a lot of delayed stuff in the quarter. There probably was some. But I think, pretty much, the stuff that we have out there, we're booking now. I would make one exception to that, which is on some of our big submarine projects on which we won switching. That has a very long revenue recognition cycle. So that's one area that we didn't book any revenue this quarter, but it's out there.
Operator: Our next question comes from Paul Silverstein of Crédit Suisse.
Paul Silverstein - Crédit Suisse AG: I have the same number of multi-part question as Tal. So literally, just a couple of clarifications, and I apologize if you went over this. The 5430, can you tell us how many of the 9 were actually in revenue? And can you also tell us how many trials you have ongoing?
James Moylan: Here's what I'd say, Paul. We're starting to build a very nice pipeline on the 5430. To me, the issue of number of trials is going to become less and less important as we move through time. And I think the revenue progression is something that we ought to watch more carefully than the number of trials. I would say that one way I can describe it though is that we have 25-plus engagements on the 5430 -- or 5400 Family, I should say, of which 9 are -- we've taken POs. And I frankly don't know how many of those 9 we had revenue in the quarter, but it would be a few of them.
Paul Silverstein - Crédit Suisse AG: So Jim, last quarter, you offset only one of the, I think, then 6 were in revenue. And that one was de minimis. In this quarter, some of the 9 are in revenue, but not all 9. Are any of them at full flow yet?
James Moylan: No, I don't believe so.
Gary Smith: We did get another 3. Three are new in the quarter, if that helps.
James Moylan: So unlikely that we'd have any revenue from those 3.
Paul Silverstein - Crédit Suisse AG: Right. And on 4100, can you tell us what the revenue, either dollars or percentage in the customer count? And if you gave it, again, I apologize.
Thomas Mock: This is Tom, Paul. It's pretty similar to what we saw at that last quarter. It's approaching 50% of the transport WDM revenues are in 40 and 100G.
Paul Silverstein - Crédit Suisse AG: So it's approaching 50% of the transport?
Thomas Mock: Pretty much the same as last quarter.
Paul Silverstein - Crédit Suisse AG: Okay. Finally...
Gregg Lampf: Paul, we do have to move on.
Paul Silverstein - Crédit Suisse AG: Gregg, just one quick on the European projects. Can you tell us how many projects we're talking about and what the revenue opportunity is?
Gary Smith: Paul, I think it's a few. It's 3 to 4 of them that were larger-type projects. And probably, the total revenue to it that we'd expected and didn't take was sort of between $10 million, $20 million.
Operator: Our next question comes from Brian Modoff of Deutsche Bank.
Brian Modoff - Deutsche Bank AG: Can you give us a little more color around demand trends on the -- you mentioned that the 40 and 100 are 50% of revenue. So what percent of that is 100 Gig? And then kind of on a customer basis, give us more color around 5430. What are you seeing particularly with U.S. operators in terms of demand? And do you expect to have 2 significant operators up and running this year in North America? And then any color you might have on other regions of the world for the 5430.
James Moylan: Let me try the first one, Brian. We haven't really talked about specifically the amount of the 40 and 100 Gig, which is 100 Gig. But by far, 40 Gig is the largest percentage today. We have more than a dozen 100-Gig customers and so that product is growing nicely, but we're still early stages. Gary, you want to?
Gary Smith: Yes, I'll take the 5430, Brian. We've got, I think, 3 Tier 1 carriers in North America have ordered 5430 at various stages of maturity rollout. But I think it's fair to say it's nascent at all 3, so I think it'll be sort of 2012 as we roll that out. And then we've secured other Tier 1s outside of North America as well. But I think all of the major, the 3 major carriers in North America, we've been successful with so far.
James Moylan: One point I'd add to that, Gary, is that a number of the 5430 customers aren't traditional CoreDirector customers. So we're actually beginning to expand that into other applications. As we look at where a 5430 fits, it does fit clearly in the traditional optical switching space. It also fits in the infrastructure space where we're actually able to help service providers do router offload. And then finally, OTN switching broadly, some cases 5410, some cases embedded in the transport products, is also getting traction as a traffic management tool in the metro market.
Operator: Our next question comes from Blair King of Avondale Partners.
Blair King - Avondale Partners, LLC: I'll ask one quick question. As we kind of look through next year on the trends that unfold in Europe and perhaps spill into other geographies as well, can you just give us a sense, Jim, as to what the exposure to Europe is on a holistic basis at Ciena?
James Moylan: It moves around from quarter-to-quarter, but Europe has generally been 25% of our revenue, plus or minus, sometimes more and sometimes less. We have limited exposure, in fact, very little to the countries that have had -- that have been talked about most widely as having a debt issue. Our exposure to Europe is -- well, EMEA, I should say, is in Britain, it's in France and it's in the Middle East.
Operator: Our next question comes from Nathan Johnsen of Pacific Crest Securities.
Nathan Johnsen - Pacific Crest Securities, Inc.: I just wanted to come back on the gross margin guidance. I think you'd identified mix as the primary culprit for the sequential downward trend on gross margin. But wanted to see if basically all of that was mix or if there are other things like the impacts from pricing pressure or the mix between line card and chassis?
Gary Smith: Nate, why don’t I take that. I mean, there's lots of moving parts to the margin piece, but I think it is largely attributable to just pure mix at the macro product line level. Now even within the product line level, to your point, the mix of cards and chassis is the simplest manifestation to that but you've got that going on as well, so there's a lot of sort of considerations into the overall gross margin. But I think it's really -- our view is it's really at the macro level on the product line mix.
Nathan Johnsen - Pacific Crest Securities, Inc.: So if I was to look at the individual business units, you would expect relatively flat gross margin in Q4?
Gary Smith: Well, I'd look at -- you've got increasing transport, which is typically, not always, but typically lower. Though, over time, where you've got OTN and other things coming in there, the lines are going to blur there. But for the purposes of simplicity, transport tends to have lower margins than switching and CESD. So therefore, if we're expecting higher transport revenues, that would lower the margin somewhat.
Nathan Johnsen - Pacific Crest Securities, Inc.: Sorry, but I guess, I mean, if I was to look at transport specifically, you would anticipate those gross margins to stay relatively even?
Gary Smith: Yes. Yes. Yes, I would. Sorry, I misunderstood your question.
Operator: Our next question comes from Greg Mesniaeff of Kaufmann Bros.
Greg Mesniaeff - Kaufman Bros., L.P.: I was wondering if you can add us some color on your cost of goods sold item in terms of how that will impact gross margin improvement. You mentioned the integration, some cross-platform software integration for optical transport for managing the products. I'm wondering if that can contribute to any improvements on the cost of goods sold side. And also, if you could maybe comment on your supply chain management and what efficiencies you're getting there?
Gary Smith: Greg, I think our overall longer-term gross margin is to get it -- view is to get into the -- solidly into the mid-40s consistently. Now there is a number of threads to that, and I think you've touched on most of them. One is we're doing a lot of work in terms of cost reductions on the actual products and next generation of products that are coming out. Much more software inclusion across the product range as we put OTN on it, OneControl, et cetera. Those tend to be higher gross margin, so we're very focused on making strong progress along that. Also, I think the supply chain progress that we've made, you saw that this quarter. We've got a plan that we're rolling out over the next 18 months, which is basically to look at improved efficiencies across our complete supply chain. More strategic partnerships and fewer vendors, basically, as we do that. A certain amount of vertical integration as well. And things like direct order fulfillment, again, there's a lot of things we can do to make progress on our optimization plan going forward.
James Moylan: We started with 3 distribution centers. At the beginning of '12, we'll be down to one. Contract manufacturers, we're looking at that question. We still have a fairly large number of spares depots around the world that I think we can consolidate as well. So we're working down the chain of things that we can do here. And so far, we've made great progress, and I think we'll continue to make progress.
Operator: Our next question comes from Tim Long from Bank of Montreal.
Tim Long - BMO Capital Markets U.S.: Gary, could you just give us a little update on what you're seeing across some of your Asia markets? Any kind of spillover or commonality with Europe? And related to that, I think you mentioned 2 new CESD customers in Asia. Could you just give us a little color on those, how meaningful they could be? What type of operators are they? Could they possibly grow to be the size of some of your existing bigger CESD customers?
Gary Smith: Right. Yes. Asia overall, I would say we're not seeing the same kind of issues that we're seeing in Europe. Now it's clearly, it's larger and fragmented, and we're a little more nascent there in terms of getting into some of these newer markets. And also specific to us is we're not in China and have no plans to be in China because of the various dynamics of that market. We're strong in India, Korea, which I think one of the CESD wins. We're making good progress in Korea overall. And I think with a couple of carriers into CESD, I don't think they can take on, though, their larger carriers. I don't think at this stage, we expect them to be of the scale of a couple of the North American ones, but it's very encouraging. Similarly, we've won a couple of the smaller carriers in India and continue to make progress with CESD into India, but we're not seeing the increased scrutiny and slowdown in Asia that we're seeing somewhat in Europe.
Operator: Our next question comes from Alex Henderson of Miller Tabak.
Alex Henderson - Miller Tabak + Co., LLC: So just a couple of quick clarifications. The book-to-bill number, did you give it in for the quarter? And then second, do you have the operating segment operating margins by packet optical, CESD and the like? And then going back to -- and the primary question is on the 4100. So sequentially flat as a percentage of sales implies it declined as -- your 4100 declined quarter-to-quarter, which is certainly counterintuitive going from a seasonally weak quarter to a seasonally stronger quarter. And that's hardly what people were expecting. Most people were looking for double-digit growth. So first off, is flat at 48% the right way to think about that segmentation percentage? And is it, in fact, declining quarter-to-quarter the way you're implying by saying the percentages are flat, or was is it more in a steeper decline in 10 Gig and a little bit better numbers in 4100? Can you please clarify that a little bit more granularly, please?
James Moylan: Let me start with -- on the book-to-bill, we don't disclose that number precisely. I will say that our backlog has come up a bit as we've moved through this year. And you'll see in the fourth quarter, we will disclose our backlog in our 10-K. And so you'll see, I think you'll likely see that, that will be up. On product line operating margin. It's always -- let me back up, it's generally the case that we see transport margins in high-30s, sometimes higher, and CESD has been sort of 40s, and then switching has been higher than that. And that's the way -- it's this quarter as well. Even within those products though, because of things like, in the case of transport, we have a number of transport products. In the case of the others, we do have this razor and razor blades phenomenon which occurs. So there's going to be movements with respect to the operating margin in any given quarter. But generally speaking, the mix of CESD and switching will be the strongest driver of our margins as we move through time. And Gary, you want to address the 40 and 100 Gig growth question, or...
Alex Henderson - Miller Tabak + Co., LLC: Before you move on, you put the segment operating margins in the Q. We forecast generally right after the quarter. It would be very helpful if we could have the operating margins to go with the forecasting timing rather than having to wait for the Q to come out. Do you have any guidance on the trajectory, whether the margins improved or declined in any of the 4 segments?
James Moylan: Let's see. Hold on a moment, I can tell you. Unfortunately, Alex, I cannot give you that information. I'm looking at quarter-to-quarter over last year, so I can't really tell you that. We can address that off-line, if you'd like to.
Alex Henderson - Miller Tabak + Co., LLC: That would be great. It'd be really helpful if you put it in the press release so that people could have the basis to forecast on.
James Moylan: Okay. Fair point.
Thomas Mock: Alex, on the 4100 question you asked. We've talked in both quarters about the percentage of 4100 basically as a percentage approaching 50%. It actually is up this quarter as a percentage. And as we've also talked about, we expect transport broadly to be up next quarter. And since 40 and 100G is a healthy contributor to that, we expect that to be up looking forward. The other thing I'd point out is, I mean, we continue to have the leading share in coherent, which is 40 and 100G primarily globally and especially in North America.
Operator: And our final question comes from the line of Simon Leopold of Morgan Keegan.
Simon Leopold - Morgan Keegan & Company, Inc.: I appreciate getting in last and possibly least in terms of this question, but I was hoping you could give us a little bit of more color on the gross margin improvement you incurred in the quarter. Clearly, I can understand the CESD and switching business being bigger contributors, helping. But my simple math suggests there's more to it than simply mix. And I'd like to get an understanding of the contributions by reporting segment in terms of just degree of what gave you the 3 points of upside. How much was mix, how much was volume, and how much was cost reduction by product group?
James Moylan: On the question of gross margin improvement. There are lots of things that happen in gross margin. As Gary said, there's lots of moving parts. And in transport in particular, we have 4 right now. We're still recognizing revenue in 4 product lines: CoreStream, 4200, 6500 and 5200. The mix within that segment can change from quarter to quarter, as well as the razor/razor blades thing can change from quarter to quarter. So we're not going to get into a specific discussion about individual transport product margins. I can just say that it is a complicated calculation. It's going to continue to affect the margin. But the biggest single margin influencer, and the way we'll continue to make progress on margins, is to improve the mix of CESD and switching going forward.
Simon Leopold - Morgan Keegan & Company, Inc.: Do you have the ability to tell us something like mix was 200 of the 270 basis points, something on that order, to help us understand the factors' weighting?
Gary Smith: To me, that degree of granularity -- to be honest, Simon, I would say that we make good progress on supply chain and cost reduction across all of the product lines. And I think even transport gross margins was actually up in the quarter as well. So even though, as Jim said, it’s switching and CESD and the software that has the major impact at a macro level on the mix, even within the product lines, because of cost reductions and supply chain and we reduced the overhead rate because of those efficiencies as well, that impacted transport positively as well.
Simon Leopold - Morgan Keegan & Company, Inc.: Right. Yes, I know, and that's what I'm sort of getting at. And it seems to me that maybe that can go underappreciated and also suggest that you're being conservative in the October guidance for gross margin.
Gary Smith: I understand the point fully, and I think it's a good one. I'd caution you around that. I mean, I think we're trying to be, as I said, balanced on it. We do see increases in transport and we're looking at the kind of projects that they are, and that was built into our guidance. But I think longer-term, we're clearly very focused on optimizing the business around cost reductions across the portfolio, getting the supply chain to be more efficient. All of that will help play into an improved COGS and gross margin.
Gregg Lampf: Thank you, Simon. We have to end the call at this point.
Operator: Ladies and gentlemen, that does conclude today's conference. You may all disconnect, and have a wonderful day.